Operator: Good day and welcome to the Pintec Full Year 2020 Financial Results Conference Call. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Joyce Tang. Please go ahead.
Joyce Tang: Thank you, operator. Hello, everyone, and welcome to Pintec's 2020 full year earnings conference call. The company's financial and operational results were issued earlier today and are posted online. You can also view the earnings press release by visiting the IR website at ir.pintec.com. A replay of the call will be available on the IR website in a few hours. Participants on today's call will be Mr. Victor Li, CEO of Pintec; and Mr. Steven Sim, CFO of Pintec. Management will begin with the prepared remarks and the call will conclude with a Q&A session.
Victor Li: Okay. Thank you, Joyce. Hello, everyone and thanks for joining today's call. Before I start, I wish you and your families are staying safe and healthy. In today's call, I will first review our 2020 performance. Then I will discuss some updates of our strategic initiatives in delivering long-term value. As expected, 2020 was probably the most challenging operating environment in the history of Pintec as we were affected by an unprecedented global pandemic. However, 2020 was also a pivotal year in which we initiated our business transformation in eliminating legacy services, optimizing product mix and a corporate structure, controlling operating expenses and reducing risky assets. As we recorded in 2020, Pintec's business  has been restructured into digital technical services and digital operations services. And our long-term strategy is to augment the revenue and profitability of digital technical services by increasing recurring revenue, while stabilize digital operations services by refining asset quality. Given this backdrop, for full year 2020 while our revenue has been significantly impacted by a decline of 71% compared to 2019, we are  execution allow our defined strategy, and I would like to mention a few of our achievements and wins in demonstrating our technical advancements and Pintec's partnerships. Firstly, for digital technical services business which includes digital retail credit management, corporate credit process management, intelligent wealth management, financial robotic process automation, and the digital banking transformation. We now have over 400 corporate clients in further diversifying our revenue sources. In addition, we are focused on revamping our revenue model from the traditional loan facilitation transaction driven nature to recurring revenue of our software services and the infrastructure sales. 
Steven Sim: Thank you, Victor. Hello, everyone. I'd like to begin by echoing Victor's sentiments, that all of you and your families stay safe and healthy. Before I start the full year 2020 financial discussion, I would like to make some comments. Firstly, as already mentioned by Victor, the unprecedented pandemic and our internal business transformation in 2020 significantly impacted our top and bottom lines. However, as we intensely review and layout our business foundations, we believe these uncertainties are short-term.  Second, given the macroeconomic headwind and the domestic PRC regulatory tightening of the financial markets, we had to undertake several onetime write-offs, including impairments for goodwill, intangibles and investments totaling RMB85.3 million, which represents about 30% of our net losses for 2020. We do not expect any future financial impact from these items. Thirdly, as part of our business transformation, we made a difficult decision to aggressively cut our expenses where necessary. So unfortunately, we had to reduce headcount by 39%, and all other associated costs in 2020. However, we will focus on continued investment into our core talents and capabilities, discipline cost management, as well as enhance our balance sheet and liquidity position which can be demonstrated by our successfully -- successful RMB400 million financing in 2020. Finally, mergers and acquisition will be another pillar of growth driver for our future development as demonstrated by our recent announced acquisition of Riche Bright, which is a licensed security brokerage firm, and Jishengtai, which is a securities technology firm, which is the core technological background of Riche Bright. We believe in the value that these two acquisitions will create going forward, they will lay the foundation of our wealth management business in the future. We are focused on long-term synergistic values in terms of business model, management philosophy, technical empowerment, hidden talents, while we are also very prudent in reviewing financial averages and growth potentials. Now, turning over to our financial results for 2020. And as usual, please note that all numbers stated in the following remarks are in RMB terms, and all comparisons are for year-over-year basis, unless otherwise specified. Total revenues for our full year 2020 decreased by 70.6% year-over-year to RMB378.3 million. In terms of revenue breakdown; technical services service fees for 2020 decreased by 69.3% to RMB330.7 million, mainly due to the decrease in our balance sheet loss facilitated during the period. The front  of our business changes in activity minimizing our risk bearing loans. The total loan volume for station was RMB1.8 billion in 2020, compared with that of RMB1.1 billion -- sorry, compared with that of RMB11 billion in 2019. However, the risk free loans facilitator was increased from 30% in 2019 to 50% in 2020. Revenues from installments services in 2020 declined by 77.2% to RMB42.7 million. This decrease was mainly due to reduction of installment loan volume due to the COVID-19 outbreak, and was in line with our ongoing strategy to optimize our portfolio structure.
Operator: Thank you  Our first question is from Ling Tan from ICDC  International. Please go ahead. Hello Ling, is your line muted?
Unidentified Analyst: Thank you management for taking my questions. I have two questions regarding the Riche Bright and Jishengtai acquisition. My first question as what revenue contribution do you foresee from this acquisition? And was there margin profile changes from this acquisition? And the second question is, how will you integrate this acquisition into your wealth management services? And could management give us some color under wealth management revenue growth target for the next three to five years? Thank you.
Steven Sim: Thank you, Ling. This is Steven. I'll take the second part of the question first. I think in terms of the integration into the current wealth management as mentioned in today's remarks, and also in our press release, the wealth management has not met it's target in the past whereas we expect for 2021 in line with the insurance brokerage business will have significant growth organically, and potentially also looking at opportunities in the market for potential M&As. And in terms with Riche Bright, we expect that they will be collectively integrated into our technological innovation in terms of not just operating license brokerage business, which -- which it is licensed in Hong Kong; we think that -- we feel that it has a significant technological advantage and difference in terms of how it's able to penetrate the B2B market that differentiates itself from what's the current offering out there. And we feel that this digital brokerage business is already well understood and well received by investors in the market; we feel that it will add to a very good part of our portfolio. And we've known the team for some time before completing the acquisition; so we think in terms of the business and other aspects of integration, it should go smoothly. Now, in terms of your -- the first part of your question; I think we expect Riche Bright to be contributing in the normal course of their business normal margins. And in fact, we believe that since it is not operating on a purely B2C type business model, whereas a small B2B2C business model, it should have higher traditional take rate as compared to other businesses in the market. As an example, we understand that potentially you have certain players in the market that we have to factor in cost of having acquisition; whereas in our case our business will be mainly driven by large corporate customers in which case in targeting the users and the players that are customers of this corporate, we think the cost of having acquisition will be much lower, therefore, giving us a better takeaway. At the same time, we feel that it's also able to offer other non-traditional brokerage business to other business -- other corporates as well. In that way, you will increase our opportunities to have more income from these sources. Thank you.
Operator:  There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Victor Li for any closing remarks.
Victor Li: Okay. Thanks, operator. And again, thanks, everyone for joining today's call. We wish you a good day, and we'll see you next time. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.